Operator: Welcome to The AZEK Company's Fourth Quarter Fiscal 2023 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Please be advised that today's conference is being recorded. I'd now like to hand the conference over to Eric Robinson, please go ahead. Eric.
Eric Robinson: Thank you, and good afternoon, everyone. We issued our earnings press release and a supplemental earnings presentation this afternoon to the Investor Relations portion of our website at investors.azekco.com. The earnings press release was also furnished via 8-K on the SEC's website. I am joined today by Jesse Singh, our Chief Executive Officer; and Peter Clifford, our Chief Operating Officer and Chief Financial Officer. I would like to remind everyone that during this call, we may make certain statements that constitute forward-looking statements within the meaning of the federal securities laws, including remarks about future expectations, beliefs, estimates, forecasts, plans, and prospects. Such statements are subject to a variety of risks and uncertainties as described in our periodic reports filed with the Securities and Exchange Commission that could cause actual results to differ materially. We do not undertake any duty to update such forward-looking statements. Additionally, during today's call, we will discuss non-GAAP financial measures, which we believe can be useful in evaluating our performance. These non-GAAP measures should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations of such non-GAAP measures can be found in our earnings press release which is posted on our website. Now, let me turn the call over to AZEK's CEO, Jesse Singh.
Jesse Singh: Good afternoon, and thank you for joining us. The AZEK team once again delivered strong results this quarter, including a 27.6% net sales growth year-over-year, a net profit margin of 11%, and a record fourth quarter adjusted EBITDA margin of 27.4%. Our Residential business grew 37.6% in the fourth quarter and approximately 5% year-over-year, delivering an eighth straight year of net sales growth. I'm very proud of how the AZEK team was able to navigate in an uncertain market and consistently deliver against our commitments. The team outperformed by driving above-market revenue growth and by delivering against productivity initiatives, resulting in significant adjusted EBITDA margin expansion in the second half of the year. Our focus on cash conversion and capital allocation throughout the fiscal year, including working capital efficiencies and disciplined capital expenditures, delivered strong free cash flow generation of $274 million and returned a $115 million to shareholders through share repurchases. AZEK sales performance was driven by continued double-digit sell-through growth in our Residential business overall and in each of our leading Deck, Rail and Accessories, and Exteriors categories, which outperformed in an uncertain repair and remodel market. We saw growth in both our Residential Pro and our Retail channels as we benefited from the execution of our initiatives. In addition to our shelf space gains and core decking interim growth, we saw great results from new products and planning in our Exteriors business and aluminum rail in outdoor living. Our Residential segment's 5% year-over-year net sales growth in fiscal year 2023 was stacked on top of 12% growth in fiscal 2022, and 35% growth in fiscal 2021. On a calendar year basis, we see similar results with the business growing 31% in calendar 2021, and 4% in calendar 2022 during the inventory unwind within our channel. We expect this growth to continue in this calendar year. Assuming the midpoint of our December quarter-end guidance for calendar 2023, we would expect our Residential segment to grow approximately double digits year-over-year in calendar 2023. We believe that this highlights not only the resiliency of our sub-segment but also the specific and unique capability of the AZEK growth model. Our fiscal fourth quarter margins improved significantly and we delivered 750 basis points of adjusted gross margin of 45% and 600 basis points of adjusted EBITDA margin expansion to 27.4%, as we realized the benefits of excellent execution by our operations team delivering on productivity initiatives and increased production levels while reinvesting in marketing and branding. Cash conversion and disciplined capital expenditures continue to be a focus and in the fourth quarter, we generated free cash flow of $92 million, growing $83 million year-over-year. Our strong free cash flow generation during the quarter supported approximately $61 million worth of share repurchases. Channel inventories have been conservatively positioned through our fiscal year-end and we are proactively managing our finished goods inventory levels to maintain high levels of service. In addition, the business has operated with normalized operating and inventory cadence with lower lead times and our channel partners continuing to purchase as needed and managing inventory below historical averages. In October, we also announced the sale of our Vycom business which closed earlier this month. Vycom is a great business and is a leader in industrial plastic sheet manufacturing. We believe that the transaction puts both businesses in a better position to achieve future success. This strategic move simplifies our portfolio and further focuses AZEK on our strategic higher growth and margin opportunities in the repair and remodel and outdoor living markets associated with our Residential segment. As stated in our strategy, we also take a portfolio approach to revenue growth and margin expansion. During 2023, we successfully launched new products including TimberTech Advanced PVC Landmark in Boardwalk and TimberTech Composite Reserve, and retrained Chestnut along with railing options and an expansion of our Exteriors portfolio. We recently hosted hundreds of our contractor and dealer partners in our TimberTech Championship PGA Tour Champions event where we had the opportunity to engage in valuable discussions, gather feedback, and preview our new products for the 2024 building season. Among these product launches are the introduction of the new and improved TimberTech Composite Terrain+ Collection, new TimberTech Aluminum Substructure Framing, new TimberTech Railing Horizontal Cable Infill, and new AZEK Exteriors Bevel Siding. We are expanding our position with the homeowner with better style, design, and performance and strengthening our already strong position with Pro, with an expanded offering of products that increase contractor labor, productivity, and efficiencies. Our partners are excited about the opportunity created by these new products. During the year, we continued to make progress on our recycle initiatives and increased the amount of recycled content we use in our TimberTech Advanced PVC decking and our Exteriors products. We also expanded the geographic reach of our high recycle content, PaintPro Prefinished Siding and Trim solutions, and welcomed Lumbermen's and Weyerhaeuser as new prefinishing partners. The expansion enables us to provide high-quality Prefinished Siding and Trim from the Northeast to Washington State. Overall, we are well positioned to capitalize on the momentum from both our shelf space gains and brand awareness increases in 2023 as well as our slate of new products for 2024. We are also pleased to be recognized for several workplace awards this past quarter. For the first time, AZEK was named a 2024 Best Company To Work For in the construction and materials category by U.S. News and World Report, as well as a top Chicago Workplace for the third year in a row. One of our core values is, the best team wins, and we're pleased to be recognized for our commitments and actions towards this shared goal, further strengthening AZEK's position as an Employer of Choice. As we look towards 2024, we are confident in our business strategy and our ability to deliver long-term above-market growth and margin expansion. Key digital metrics highlight continued elevated interest in our TimberTech brand and we continue to see growing consumer engagement with website traffic, leads, and sample orders showing year-over-year growth during the fourth quarter. Outdoor living spaces have been ranked the number one most popular Home Exteriors remodel for the last 10 years according to the American Institute of Architects. Our October quarterly total contractor and dealer surveys indicate they remain busy and have a cautious outlook for growth in 2024. Contractors continue to add backlogs of approximately eight weeks overall and anecdotally, some have indicated that their sales process is returning to a pre-pandemic normal. In addition to the stability of our existing contractors and dealers, we continue to expand our network, allowing us to access more of the market and drive incremental share and wood conversion. In fiscal 2023, we added over 1,000 contractors into our Pro Loyalty Program, driven by continued education and awareness of the composite category, and the TimberTech brand. We continue to see positive Residential sell-through growth and demand indicators such as our customer surveys and digital metrics remain constructive as we begin the fiscal year 2024. While we continue to see favorable demand indicators, we acknowledge the continued macroeconomic uncertainty, mixed consumer confidence, and the potential for a slower repair and remodel market. Our fiscal year 2024 planning assumptions assume a flat to down repair and remodel market and consistent with our historical track record, we would expect to outperform the market driven by AZEK-specific initiatives, including materials conversion, channel expansion, new product innovations, and customer journey initiatives. We believe that our business model combined with our margin opportunities, will provide us an opportunity to continue to grow sales and EBITDA for our Residential business in fiscal 2024. For the full fiscal year 2024, we expect that the sale of the Vycom business will reduce Commercial segment sales by approximately $77 million and adjusted EBITDA by approximately $17 million on an annualized basis. Taking that adjustment into account, AZEK expects consolidated net sales in the range of $1.335 billion to $1.395 billion and adjusted EBITDA in the range of $320 million to $335 million. Adjusting for the Vycom sale, our net sales guidance would imply 3% to 8% year-over-year growth and 15% to 20% year-over-year adjusted EBITDA growth. Peter will provide more context on our guidance as we continue to see the opportunity to drive above-market growth and margin expansion. I will now turn the call over to Peter to provide some additional context on our financial results and outlook.
Peter Clifford: Thanks, Jesse, and good afternoon, everyone. As Eric highlighted at the beginning of the call, we have uploaded a supplemental earnings presentation on the Investor Relations portion of our website. Before we get into the fourth quarter and fiscal year 2023 results, I wanted to take a moment to reflect on the past year. When we offered our planning assumptions back in November 2022, we were operating in an uncertain environment at the time the market was digesting the unknown impact of the Fed's cumulative interest rate hikes on both the repair and remodel spend and consumer sentiment. At the time of our guidance, we were getting questions around, would material conversion continue in a down market. Would pricing hold in a deflationary environment? Would we see the expected deflation and a slowdown? Could we manage our plants effectively from both an efficiency and capacity perspective to see if the upside of the market was better than expected? Could we manage our channel inventory conservatively and keep best-in-class service levels? Could we drive strong cash conversion to support a repurchase program to take advantage of dislocations? On all these points, the AZEK team was able to effectively manage the business and outperform expectations in fiscal 2023. Our new product development and growth initiatives drove continued material conversion. We were able to sustain pricing in a more normalized commodity environment. We appropriately managed capacity and manufacturing costs and were able to quickly react to stronger decking season by ramping production, while continuing to maintain industry-leading service. And finally, our strong results and healthy cash generation allowed us to support our share repurchase ambitions during the year. To sum it all up, we had set challenging targets at the outset of the fiscal year in a period of uncertainty, and we led the business to exceed those commitments. And when we talk about fiscal 2024, we once again encounter a similar economic backdrop. Despite this backdrop, we have confidence and credibility to deliver in fiscal 2024 based upon the execution we demonstrated in fiscal 2023. As Jesse mentioned upfront, during the fourth quarter, we continued to see a positive demand environment in our Residential business. Sell-through remained equally strong through the season, and contractor backlogs have been stable for the last four quarters at approximately eight weeks. At the same time, our digital KPIs remained strong and we used our positive sell-through and results to continue to accelerate investment and brand awareness in both the quarter and the year. We believe we are already reaping the benefits of these brand investments. From an operating perspective, our production returned to normalized levels in the fourth quarter, albeit up substantially year-over-year due to the lapping of a large fiscal 4Q '22 channel inventory reduction. We continued to maintain strong service levels during the quarter while executing against our own full-year inventory reduction plan, drawing down inventory year-over-year by $79 million. On the commodities front, key raw materials have remained stable at meaningfully lower input costs, supporting our material savings. The combination of double-digit residential sell-through growth, coupled with strong execution against our material savings, conversion cost, and recycling initiatives, helped us achieve record adjusted EBITDA margins during the fourth quarter. For the fourth quarter of fiscal 2023, we grew net sales by 28% year-over-year to $388.8 million, which was above our guidance expectations. The fourth quarter growth was driven by the strength in the Residential segment, partially offset by declines in our Commercial segment. 4Q '23 gross profit increased by $77.8 million, or 108% year-over-year to $149.7 million. 4Q adjusted gross profit increased by $60.6 million or 53% year-over-year to $174.8 million. Our adjusted gross profit margin percentage increased 750 basis points year-over-year to finish at 45%. The adjusted gross profit increase was driven primarily by material deflation, manufacturing productivity, execution against material cost productivity initiatives, and a one-time utilities reimbursement of approximately $2 million. SG&A expenses increased by $17.5 million to $85 million. The bulk of the year-over-year increase was driven by our continued commitment to make investments in marketing and brand awareness. Adjusted EBITDA for the fourth quarter increased by $41.3 million, or up 63% year-over-year to $106.4 million. The adjusted EBITDA margin rate for the quarter increased 600 basis points year-over-year to 27.4%. The primary driver of the year-over-year change in adjusted EBITDA was the impact of material deflation, manufacturing productivity, execution against material cost productivity initiatives, and a one-time utilities reimbursement of approximately $2 million, partially offset by continued investment in marketing and branding. Net income for the fourth quarter increased by $47.4 million to $42.6 million, or $0.28 per share. Adjusted net income for the fourth quarter increased by $29 million to $53.5 million, or adjusted diluted EPS of $0.36 per share. Now turning to our segment results. Residential segment net sales for the fourth quarter was $350 million, up 38% year-over-year. Within the Residential segment, we saw positive growth in both Deck, Rail, and Accessories, and Exteriors, while our StruXure smart pergolas business navigated some destocking during the year. Residential segment adjusted EBITDA for the fourth quarter came in at $118 million, up approximately 83% year-over-year. Residential segment adjusted EBITDA margins were up 830 basis points year-over-year to 33.7%. Commercial segment net sales for the quarter were $39.2 million, down 22% year-over-year. These results were in line with our previous quarter's commentary and expectations. Within our Commercial segment, Vycom net sales came in at $17.5 million, down approximately $8.6 million year-over-year. Commercial segment adjusted EBITDA for the quarter came in at $9.2 million, a decrease of $5.3 million year-over-year. Within our Commercial segment, Vycom adjusted EBITDA was $3.3 million. It is important to note, despite a softer demand backdrop, we were able to hold our EBITDA margins for the segment at 23.6% in the quarter. From a balance sheet and cash flow perspective, we ended the quarter with cash and cash equivalents of $278 million and approximately $147 million available for future borrowings under our revolving credit facility. Working capital defined as inventory plus accounts receivable minus AP was $223 million, down $118 million year-over-year. We ended the quarter with gross debt of $672 million, which included approximately $79 million of finance leases. Net debt was $394 million and our net leverage ratio stood at 1.4 times at the end of the fourth quarter. Net cash from operating activities was $127 million during the fourth quarter, an increase of $87 million year-over-year. Capital expenditures for the quarter were approximately $35 million. For the full year fiscal 2023, free cash flow increased by $339 million year-over-year to $274 million. As expected, we were active during the quarter with our share repurchase program, repurchasing approximately $61 million worth of shares at a weighted average of $32.70 per share. Given the strength of our cash position, we expect to be active again in the fiscal first quarter with our share repurchase activity. As a reminder, the remaining authorization under our share repurchase program is approximately $202 million. Our capital allocation priorities remain the same. As we previously communicated, we will continue to invest in our business, both organically and inorganically, and to the extent we have excess cash flow, we will look to repurchase shares opportunistically. As we turn to the outlook, let me provide some context and color on what we are assuming for the upcoming fiscal year. As a reminder, we announced the divestiture of our Commercial segment's Vycom business in October 2023. Starting in fiscal 2024, from a reporting perspective, we expect to combine all corporate expenses into the Residential reporting segment and will continue to report Scranton Products within the Commercial reporting segment. In other words, the new Residential segment adjusted EBITDA definition combines Residential EBITDA plus corporate expenses. We believe this change in segment reporting will help investors more easily compare our Residential business with fellow building products peers. To assist with modeling, Vycom net sales and adjusted EBITDA ended the fiscal year 2023 at $77 million and $13 million, respectively. As a result of the divestiture, we will incur new expenses associated with an arm's length supply agreement between Vycom and Scranton Products to supply sheet with a total additional impact of approximately $4 million per year. Adjusted EBITDA for fiscal 2024 as a result of the transaction will be impacted by approximately $17 million, which is reflected in our planning assumptions for fiscal 2024. As previously communicated, the Vycom sale will result in cash taxes of approximately $21 million to $23 million and an effective tax rate of approximately 53% to 56% in the first quarter due to the gain on the sale and a 32% to 33% effective tax rate for the full year. Normalized to exclude the gain on the sale from the Vycom transaction, the effective tax rate is approximately 27%. I also wanted to revisit the previously communicated known carryover tailwinds that we have headed into fiscal 2024, adding to our confidence and conviction heading into the year. As a reminder, about what we've discussed over the past few quarters, we experienced approximately $20 million of negative impact from underutilization in the first half of fiscal 2023, which we expect not to reoccur in fiscal 2024. We also carry approximately $20 million in known deflation currently on our balance sheet, which will flow through the P&L in 2024. The sale of Vycom business modestly reduces some of the underutilization and deflation carryover tailwind by approximately $5 million, and we will continue to expect to invest in marketing growth activities. Finally, on the revenue side, recall that in prior year 1Q '23, we experienced approximately $30 million to $35 million of net sales headwind from our channel inventory reductions, which we expect not to reoccur in fiscal 2024. With that context, let me move to the planning assumptions for fiscal 2024. We are assuming for the full year that repair and remodel will be flat to down low single digits. For the items in our control, we are confident in our execution skills and ability to continue to drive above-market growth. We are carrying over AZEK-specific initiative wins into 2024. We will lap the 1Q '23 channel inventory reduction, which gives us confidence in our ability to grow our Residential net sales by approximately 5% year-over-year in fiscal 2024 at the midpoint of our planning assumptions. The sum of these carryover impacts and growth assumptions drives our high-level planning assumptions for the year to $1.335 billion to $1.395 billion in revenue and $320 million to $335 million in adjusted EBITDA. Adjusting for the Vycom sales, our net sales guidance range would imply 3% to 8% year-over-year growth and 15% to 20% year-over-year growth in adjusted EBITDA. Our Residential segment planning assumptions for the year is $1.262 billion to $1.318 billion in net sales, and $306 million to $319 million in segment adjusted EBITDA, representing 3% to 8% sales growth year-over-year and 18% to 23% segment adjusted EBITDA growth when combining corporate expenses with our Residential reporting segment, as mentioned earlier. A few other assumptions to share include the following. We expect strong gross margin performance, enabling us to continue to invest in growth-oriented marketing and brand awareness initiatives. We're expecting capital expenditures in the range of $70 million to $95 million, consistent with our publicly stated target of CapEx of approximately 5% to 7% of revenue. We are expecting depreciation of approximately $87 million to $90 million. We are targeting working capital reduction of approximately $10 million to $20 million for the year. And finally, as detailed earlier, we are expecting a GAAP tax rate for the full year of 32% to 33%. For additional planning assumptions to assist with modeling fiscal '24, please refer to the supplemental earnings presentation we have posted on our Investor Relations website. Before we turn to our guide on the first quarter, I wanted to provide context for the operating environment we expect in fiscal 1Q '24. For the quarter, we are expecting sell-through growth in the mid-to-high single-digit range, which as we know, is a seasonally smaller quarter as much of the country winds down the building season. From an inventory staging perspective, we expect the channel to remain conservative in line with last year's behavior. As a reminder, this is the period of the year in which the industry negotiates shelf space positions and stages inventory in the channel ahead of the upcoming building season. AZEK historically ships the majority of our channel inventory build, otherwise known as early buy, in our second fiscal quarter, and we are assuming that effectively all of this volume will ship in fiscal 2Q. Channel inventories were positioned conservatively at fiscal year-end and we are proactively managing our own finished goods inventory levels to maintain high levels of service. As a reminder, we are lapping a fiscal 1Q '23 channel inventory reduction of approximately $30 million to $35 million. From a margin perspective, we expect to have approximately $20 million of carryover benefits, including approximately $10 million from lapping the prior year's underutilization and $10 million of deflation in the first quarter. Taking these factors into consideration, our guidance for the quarter is $230 million to $236 million in revenue, and $45 million to $48 million in adjusted EBITDA. Adjusting for the Vycom sales, our net sales guidance range would imply 17% to 20% year-over-year growth and $33 million to $36 million year-over-year growth in adjusted EBITDA. We are expecting an effective tax rate of approximately 53% to 56% for the quarter, which again is higher as a result of the gain on the sale of Vycom business. Our team is excited, engaged, and well-prepared to tackle the environment in front of us in fiscal 2024. With that, I'll now turn the call back to Jesse for some closing remarks.
Jesse Singh: Thanks, Pete. I would again like to thank our dedicated team members, channel and supplier partners, and contractors that support the AZEK Company. Thank you for your contribution and a strong finish to the fiscal year. We remain incredibly excited about the long-term material conversion opportunity ahead of us in the large and fast-growing Outdoor Living and Home Exteriors markets that AZEK plays in. Our Residential segment has continued to show remarkable resiliency and growth capability. The business has delivered a compounded annual growth rate of 11.6% over the last 10 years and 17.7% over the last five years. Our fiscal year 2023 results reflect the strength of our industry-leading position, our focus on strategic growth initiatives, the resiliency of our markets, and the significant margin expansion opportunities ahead of us. Our strong free cash flow generation puts us in a great position from a capital allocation perspective to invest in growth opportunities and opportunistically participate in share repurchases. Our team's focus on operational excellence to drive above-market growth and margin expansion across any market condition puts us in a position of strength as we begin fiscal year 2024. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tim Wojs from Baird. Please go ahead.
Tim Wojs: Yeah. Hey, guys. Good afternoon. Nice job. Maybe just kind of starting on the sales guide. So, I guess at the midpoint, you're guiding about 5% to 6% Residential growth. In an R&R market that's maybe down, 1% to 2%. So, 7% to 8% outgrowth. Maybe just talk about, the big pieces of that and kind of what's internal, what do you kind of have visibility to? And if there is outperformance in your eyes in fiscal '24, does it really come from internal initiatives or is it really going to be a better market at this point?
Peter Clifford: Yes, Tim. This is Peter. The geography of the 7%, there about two points of that is the inventory lap, and then the other 5% is really our initiatives. And I would say right now, a little more than maybe half of that is carryover from Commercial initiatives and shelf space wins from last year at both Pro and Retail.
Tim Wojs: Okay. Good. And then just on shelf space, I mean was there anything, I guess, unique in fiscal '23 on some of the shelf space gains? Just double digits, kind of sell-through growth, I think it's faster than what some of your peers are reporting. I'm just kind of wondering if there's anything in there that's kind of chunky or is it really just, representative of some of the investments you guys are making?
Jesse Singh: Hi. Excuse me. By the way, I apologize for my voice. Apparently, I've been talking to customers a bit too much here. So, relative to your question, most of the pickups we've had or, expansions that you talk about, were pretty normalized volume feathering in. And so, as Pete pointed out, you should think of it as, as we expand our position, there's not a huge amount of sell-in. A lot of it is just incrementally being added to a position which then yields benefits, month-to-month. And obviously, we added it in some cases at the beginning of last year, in some cases in the middle of last year. So, you start to see the benefit as we move forward. And just as you highlighted, we saw double-digit sell-through growth in both of our core channels, both Retail and in the Pro channel.
Tim Wojs: Very good. Good luck on the -- to you guys. Thanks.
Operator: Your next question comes from the line of Keith Hughes from Truist. Please go ahead.
Keith Hughes: Yeah. Thanks. Building on that, you talked about double-digit sell-through in the quarter, kind of mid-single digits in the fiscal first quarter that's coming up. I guess the question is, has something slowed or is this a function of comps or taking a conservative stance? Maybe just talk around what's happening in these periods.
Jesse Singh: Yeah. There's a natural question of, where we sit now. Have we seen any kind of a slowdown from what we described in the fourth quarter? And I would say things continue as we've seen it in the last quarter, as we moved into this quarter. We just think it's appropriate, given that December tends to be a light month, to assume a more conservative average as we go through the end of this quarter. But in general, things have continued pretty consistently for the last six months with that double-digit sell-through growth. And if we do happen to see some incremental volume, I mean, we would probably use that as best we can to, to manage inventory even more conservatively in the channel.
Keith Hughes: Okay. And you're at the point that your customers, your distributor customers, are just ordering to replace things that are going out the door. Is that correct?
Jesse Singh: Yes.
Keith Hughes: Okay. One final question. In the reported quarter and in your guidance, have you seen or are you expecting any price, or is the growth you're describing here all volume?
Peter Clifford: You should think price is kind of negligible for the year, to be modestly positive, but again, negligible.
Keith Hughes: Okay. Great. Thank you very much. Thank you.
Operator: Your next question comes from the line of Matthew Bouley from Barclays. Please go ahead.
Matthew Bouley: Hey. Good afternoon, everyone. Thanks for taking the questions. Sticking on the same topic of sort of outperforming the end market growth next year. Did I hear you say that a lot of that outperformance is actually just kind of the carryover of some of the wins that you built on last year? And so, if that's the case, my question is, do you have line of sight the potential for new business wins, additional new products as you kind of roll out through the year, things like that? Things that are sort of reminiscent of your Investor Day, where you spoke about that kind of annual, internal drivers of above-market growth. Is there room for additional, beyond just that kind of carryover that you're speaking to?
Peter Clifford: Yes. I, first, on the point of carryover. As Pete mentioned, we have a little bit of inventory lapping carryover pretty modest, and then we've got some additional carryover where we feel confident that the wins we've already secured will give us an opportunity. And then on top of that, we expect to continue to drive our initiatives. I think the way you should think of, our focus on driving above-market growth is, we're not trying to land the plane at a specific number or a specific percentage. I think our intent is to always continue to drive over-performance. And in this particular case, we're giving you a range that we feel comfortable that we're able to achieve given an uncertain market, and given the execution that we already see ahead of us. We're going to constantly, focus on expanding our portfolio. We announced a number of new products, and many of those allow us to access some adjacencies and incremental positions. And so, you should assume we're always striving for something bigger. We're just giving you what we think is an appropriate planning assumption as we move into next year.
Matthew Bouley: Got it. Thanks for that, Jesse. Second one, just thinking about recycling and the progress there, again, going back to the Investor Day, you guys had outlined, a potential material uplift to margins from mixing towards, greater usage of recycled materials. So, my question is, where are you on that now, and kind of thinking about that EBITDA bridge for next year, what's implied in the guide around, benefit from, mixing towards recycled materials?
Peter Clifford: Yeah, Matt. This is Peter. We went back and actually updated here at the end of the quarter the preview that we gave you guys in the Investor Day and went back to 2009 through 2023, and it kind of said the same thing, that ultimately we've achieved about 50 basis points of kind of margin expansion each and every year throughout that period. That's what we would kind of expect as we lean forward. Levers are still the same, right. We've got the opportunity to move to cheaper grades of recycled, which is primarily cap composite opportunity, increased recycled content, which is obviously the PVC Deck and Trim. And as well, across all three product categories, we have the opportunity to reduce our cost to convert those recycled materials down. So, we feel really good, again, about, for us, recycling is more iteration than innovation.
Jesse Singh: And sorry. I think, just to put a minor point on that, relative to what we said on the Investor Day, you should think that we've added another 100 basis points of benefit, 50 a year, as Pete pointed out. And as we look at our -- our margin opportunity, as we demonstrated in our last quarter, we certainly have a number of levers that we can pull, and certainly recycling is one of them. But we'll continue to drive the other elements of productivity.
Matthew Bouley: Got it. Well, thanks, Jesse. Thanks, Pete. Good luck, guys.
Operator: Your next question comes from the line of Philip Ng from Jefferies. Please go ahead.
Phil Ng: Hey, guys. Congrats on a strong quarter to finish the year. Pete, if I heard you correctly, your guidance for 2024, you're assuming 2% inventory lap, and the rest is Commercial initiative. So, that seems pretty conservative. Your sellout, it sounds like fourth quarter is in the mid-to-high single digits. So, implicitly in your full year sales guide, what are you assuming for sellout? And it sounds like it's assuming some moderation. Is that just a function of comps with some of the wins that you had on new products this year -- this past year?
Jesse Singh: Yeah. I -- what I would say against the planning assumption is, we're assuming in our planning assumption that there is some potential for market -- for the market to be a bit slower than what we're seeing now. And given the data and the macroeconomic environment, we think at this stage, it's appropriate to plan for a potential slowdown in R&R to become more negative. So the way you should just look at all of this is, we're assuming a modestly less constructive market next year, and that's really how the numbers work.
Phil Ng: Okay. On that note, Jesse, you've kind of managed the channel conservatively, right? I think the color you've given us all year was, when you've done your survey, channels generally were a more upbeat. So, I'm curious, when you've done your survey, what is your channel partner kind of expecting, anticipating for growth in 2024? How are they kind of managing the early buy? Last year they were a little more conservative and they kind of bought more through the year. Like, how are they kind of communicating their outlook for next year or for calendar 2024?
Jesse Singh: Yes. Obviously, we're in the midst of conversations right now, but I think if you were to aggregate a wide variety of channel partners, I think what they would tell you is, as they look out next year, they see a flattish year with the opportunity if we execute together in our categories, to outgrow the flattish year in our product. So, that's the macro view. Now against that, we're working with them to make sure that, they're being well serviced and that they're in a really good position. So, I would think of this as a pretty normal year relative to how folks are going to look at early buy. And if last year were conservative, I think we're sitting well on top of that. I'm not saying they're going to be more aggressive. I'm not saying they're going to be more conservative. I think it'll be a pretty consistent pattern, and it's really a matter of, when they choose to buy and at what level. But I think, in general, the feedback from our channel is one of flat with the potential of positive in aggregate and a recognition that we have a unique ability to outgrow that.
Phil Ng: Okay. Appreciate the color. Thanks a lot.
Operator: Your next question comes from the line of Michael Rehaut from J.P. Morgan. Please go ahead.
Michael Rehaut: Thanks. Good afternoon, everyone. Thanks for taking my question. Yes. I just wanted to first, circle back a little bit to the first quarter and if I heard right, you are expecting, a little bit of inventory conservatism in the channel against a sell-through up mid-to-high single digits on the Residential side. So, is that something that we should be expecting? I guess in effect that to shift into the second quarter and, it sounds like you're kind of looking for sell-through to -- for the year to be, maybe a little bit more moderate as the year progresses relative to the first quarter. Is that -- I just want to make sure we're understanding that correctly and you might have a better, gross number in the second quarter, is that the right way to think about the cadence in the first half?
Jesse Singh: I would say, Mike, it's probably too early to start to guide the second quarter. I think our intent has been, in particular over the last, six to 12 months, to make sure that we're doing a really good job of service so that our channel can operate with an appropriate and if necessary, conservative inventory level. We're lapping that now as we had that at the end of the first quarter in '22. We expect channel to be in a good but, flattish situation with last year and still able to support growth. And then as we move through the quarters, we'll see how volume progresses and, relative to sell-through assumptions, we've got pretty good visibility obviously in the quarter that we sit and we've got good, directional visibility as we look at January and February just given backlogs. And so beyond that, everything is just a planning assumption. What we're trying to do is, gauge the market and, conservatively plan against what the market could do. So I think we're not in the prediction game right now of what's going to happen in March, April, May, June of next year. What we're just laying out is an appropriate planning assumption that we feel really good about our ability to deliver both on top and in particular our EBITDA against.
Michael Rehaut: Okay. I appreciate that, Jesse. I guess secondly, you kind of highlighted for your fiscal full year planning assumptions, continued investment in marketing and brand initiatives from a strong gross margin performance. I'm just thinking about, longer-term and I'm wondering about, if the investment this year is something that, you would consider a little bit above average as you continue to build out, the platform. You obviously over the last couple of years, you've made a couple of different acquisitions, Pergolas for example, and, the overall category continues to gain share as well. Would love to understand, those investments and, if you kind of think over the next two or three years, you might be able to get better leverage out of the SG&A, relative, and I think ultimately how to think about incremental EBITDA margins over time.
Jesse Singh: Yes. I would put it in a real simple way. I think this year we have an opportunity, if we have the room, to continue to invest in the business. So, you're probably not -- our current assumption is that you're not going to see leverage on SG&A. If anything, it might, contribute to, 10, 20, 30 basis points of negative leverage. But I think as you move out beyond that, we've made pretty substantial investments in our sales and marketing organization. We've seen a benefit from it. You should expect that it's really our choice, but I think as we move through '24 into '25, we should start being in a position to get leverage off that. We certainly could get leverage this year if we chose to. It's really a lever that, we'll decide how to pull, but right now that lever is more in an investment.
Michael Rehaut: So, therefore, how should we think about incremental EBITDA margins over time for the Resi business?
Jesse Singh: I think once you move beyond this year and Pete, please chime in, but I think once you move beyond this year, you should think of SG&A as being positive to leverage.
Peter Clifford: Yes. We said it won't happen every year, but most years, looking forward past '24, we would expect, possibly as much as 25 bps as a leverage opportunity that's there most years. And look, in the near term here, part of the investment thesis is, look, we're continuing to clearly outperform the market as well as peers, so we want to keep that momentum.
Michael Rehaut: Okay. Thank you.
Operator: Your next question comes from the line of John Lovallo from UBS. Please go ahead.
John Lovallo: Good evening, guys, and thanks for taking my questions. The first one is, Pete, you mentioned that in the fiscal year '24 outlook, that pricing is going to be relatively flat to maybe a slight good guy. I mean, have your thoughts changed on the ability of the business to drive sort of low-single digit price increases over time? Is that more of kind of a 2025 story? And then, similarly in the context of the growth algorithm, how are you guys thinking about material conversion in 2024?
Peter Clifford: Yes. First on the pricing piece. Look, we did some traditional product-by-product price increases here. Now that will be, basically offset by some programming costs on the gross to net to kind of net to again kind of a modest negligible price for '24. Look, that's a lot on the backdrop of the pricing that we've taken over the last two or three years. We do expect in 2025 that we'd return to a more traditional kind of annual pricing pattern. And as far as conversion, look, I think we feel really comfortable, again, based upon a '23 performance. It was one of the questions that was open at the beginning of the year. Is conversion still happen? Does it still happen at the same pace? And a down cycle in our sector clearly had a slow start. And the resolute answer was, it does. And again, we wake up every morning, we know the levers to pull for conversion. It's all about converting contractors, it's influencing architects, it's making sure we got the right new product launches, that we're fighting for shelf space so people can see the product and simplifying and educating the consumer in the journey.
John Lovallo: Makes sense. Thank you. And then as a follow-up, it sounds like demand in both the Pro channel and on Retail were both pretty good. Just curious on the mix side, if you've seen any kind of impact on, mix down, if you will, as the economy maybe has got a little bit more challenging and consumer confidence has waned to some extent.
Peter Clifford: Yes. generally speaking, our products mix has been really stable. As we called out on the last two calls, we were underpenetrated in the good category, right, due to capacity constraints during the pandemic. As we relaunched here, Prime and Prime Plus with ample capacity, we've obviously picked up some share this year in that good category.
John Lovallo: Great. Appreciate it. Thank you.
Jesse Singh: John. John, I think one of the things just to continue to highlight is, we are predominantly Pro and we tend to skew more Premium. And I think, as you see that, you tend to see pretty strong resiliency there and, we see it in all of our data. Our good, our more premium products continue to do well. And then, as Pete pointed out, we've been able to pick up, some incremental share at the entry-level. But I think in reality, the more premium areas continue to be pretty stable and growing, which is what you might expect in a -- in an economy that, has a fair amount of wealth that, sits through, equity holdings and home equity values.
Operator: Your next question comes from the line of Susan Maklari from Goldman Sachs. Please go ahead.
Susan Maklari: Thank you. Good evening, everyone. The first question is, when we think about the range that you gave for sales growth next year of 3% to 8%, can you talk about the environment or the factors that would take you to the lower end versus the higher end of that range next year?
Peter Clifford: Yes. I mean, ultimately it would have to be that R&R is, at the lower end of kind of low-to-mid single-digits negative.
Susan Maklari: Okay. Alright. And then, in the prepared remarks, when you were talking about some of the new products, the initiatives for next year, it seemed like Rail came up quite a bit, maybe perhaps more than it has in the past. Can you talk about how you're thinking of the opportunity there and anything that we should be thinking about as we think about the next couple of years?
Jesse Singh: Yes. Susan, I'll take that. We highlighted that we play in multiple markets and that we see good opportunity in all of them. Clearly, Rail is, a close-end part of our business. We bought an aluminum rail company in -- at the tail end of 2018. We bought another rail company last year, which is a super-premium PVC rail company. And we've seen really, really nice growth from those acquisitions. And we have reinvested and reinvented our core portfolio by both simplifying it, but also upgrading it. And so for us, as we look at 2022, we've had really, really nice Rail growth that would be accretive to the growth that we've had overall in the Company. And we would expect that to continue as, we're uniquely positioned with having an incredibly broad portfolio, and we would expect to continue to use that portfolio to expand our position on the market.
Susan Maklari: Okay. Thank you. Good luck with everything.
Jesse Singh: Appreciate it. Thank you, Susan.
Operator: Your next question comes from the line of Mike Dahl from RBC Capital Markets. Please go ahead.
Mike Dahl: Hi. Thanks for taking my questions. First one on the cost tailwinds. So, I think, Pete, you articulated that that $40 million in known deflation and production tailwinds, maybe that comes down to $35 million when your account for the Vycom divestiture. Can you just elaborate more on, what you're seeing on the raw material side? And you talked about this being known deflation on the balance sheet, so is there potential for additional deflationary benefits if raw mats stay where they are today and you cycle into -- you continue to cycle into that in your WACC?
Peter Clifford: Yes, Mike. The view on the commodities front, from an expectation perspective of kind of what's embedded in the planning assumptions is looked at, input costs have stabilized and are expected to remain kind of relatively flat all year with a few modest increases in the back half of the year. So, it's kind of steady-state is sort of the view from sort of the industry publications' CDI.
Mike Dahl: Okay. So, the $35 million total, you think, fully encompasses where we're at today?
Peter Clifford: It does. And if you remember, commodities dropped very sharply right after we started the year. So, really they dropped fast and then they stabilized. And we've been kind of riding sideways here for the last couple of six to eight months.
Mike Dahl: Okay. My second question, okay, maybe I misinterpreted this when the initial release came out, but I think when the Vycom divestiture came out, the idea was to roll up all of the reporting into the Residential segment. Now you're putting corporate expenses into Resi, but keeping Scranton Products separate in Commercial. Anything to read into that in terms of whether your intent has changed on what to do with the remaining Scranton Products business?
Peter Clifford: Yes. I mean, look, I think it was obviously a way for us to make it easier for folks to compare us to our peers within the building product space that most folks that follow us are most interested in Residential. So, it seemed logical to put those two pieces together.
Mike Dahl: Got it. Okay. Thanks.
Operator: Your next question comes from the line of Rafe Jadrosich from Bank of America. Please go ahead.
Rafe Jadrosich: Great. Hi, guys. Thanks for taking my questions. First, I wanted to just ask, can you talk about the sell-out trends in Decking versus the Exterior categories that you saw last quarter? And then what are you assuming in your outlook for each of them?
Jesse Singh: Yes, at a high level, both of them were -- were roughly similar and positive. And I think as we look out to next year, we're not parsing out, any specific business. As we've highlighted, we've got conversion opportunity and new products on the Deck, Rail, and Accessory side. And we've also got a number of new products that will help us drive wood conversion on the Exterior side. So, we've seen nice sell-through growth in both of them.
Rafe Jadrosich: Got it. And then just following up on some of the earlier comments on the early buy, you mentioned that normally the majority of the early buy is in the second quarter, but some of it has historically fell in the fiscal first quarter. But this year, effectively, it's all going to ship in the second quarter. What's -- is there a way you can quantify the rough impact of that assumption? And then what portion of your sales in a typical year would come in, in the early buy?
Peter Clifford: Yes, I mean, I'll take the first part of the question on sort of, the catalyst for most of it moving to the second quarter now is, look, it used to happen in the first quarter because capacity wasn't capable of supplying as much product as what was needed in the second quarter. Obviously, with the capacity expansions of the last two years, that's really, again, kind of the catalyst for why we really don't feel like there's a need to have any of the shipments in our fiscal 1Q and that virtually all of it will be in the second quarter.
Jesse Singh: And then relative to the percentage, we haven't talked about that. I think the most important part of this winter negotiation is that we position ourselves well with our customers to drive growth throughout the year. So for us, the most valuable part of this is the partnership discussion of how we're going to work together to grow our mutual businesses with our channel partners. And in that respect, the quarter and the discussions are important to set up the year. What it does do is, it gives us pretty good visibility on revenue within the quarter. And so, as we've talked about in the past, and our competitors have too, really the October quarter and the January quarter are really quarters that end one year and begin another, and they are staging quarters. And then, we'll see the real impact in season as we move into, our fiscal, third quarter and fourth quarter.
Rafe Jadrosich: Thank you. That's helpful.
Operator: Your next question comes from the line of Trey Grooms from Stephens Incorporated. Please go ahead.
Noah Merkousko: Hey. Good afternoon. This is Noah Merkousko on for Trey. Thanks for taking my questions. So, maybe first I just wanted to follow up on gross margins. It sounds like, continuing to ramp production from here. You've highlighted the raw material deflation that will help the front half of fiscal year '25, and then kind of roll-off in the back half. So, I guess, would -- you'd expect gross margins to be stronger in the front half and then moderate in the back half. Is that kind of the right way to think about it here? Or are there other items we should consider as we think about '24?
Peter Clifford: Like, obviously, year-over-year, the performance on gross margin is going to be meaningfully accretive in the first half of the year, given what we're lapping. And then, I would assume or expect kind of consistency in the back half of the year with this second half of '23.
Noah Merkousko: Got it. That makes sense. And then on my follow-up, it sounds like continuing to make investments in SG&A which would prevent leverage in '24. But when you think about SG&A as a percent of sales, is '23 a pretty comparable year, or would you expect that number to move meaningfully higher?
Peter Clifford: We're not expecting significantly negative leverage. It'll be flat to modestly negative, as Jesse said, it's probably reasonable to think maybe 20 bps.
Noah Merkousko: Got it. That makes sense. Thanks for the time and good luck with the rest of the year.
Jesse Singh: Appreciate it. And the last comment on that, that really depends on volume. And as we look at, our ability to deliver EBITDA margin, we feel really good that in any scenario, we can get into that 24% plus range that we talked about that puts us on a path towards that 27.5% that we talked about by '27. And so with that, thank you all for joining. We feel, as you can tell, we're pretty pleased with how we ended the quarter and we feel excited about what's ahead of us and look forward to chatting with the rest of you offline as needed. Take care, and thanks for joining us. Appreciate it.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.